Operator: Good day, ladies and gentleman, and welcome to the Q3 2019 Cabot Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder this conference call is being recorded. I would now like to turn the conference over to Steve Delahunt. Sir, you may begin.
Steve Delahunt: Thank you. Good afternoon. I'd like to welcome you to the Cabot Corporation earnings teleconference. With me today are Sean Keohane, CEO and President; and Erica McLaughlin, Senior Vice President and CFO. Last night, we released results for our third quarter of fiscal year 2019, copies of which are posted in the Investor Relations section of our website. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available in conjunction with the replay of the call. During this conference call, we will make forward-looking statements about our expected future operational and financial performance. Each forward-looking statements is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears under the heading Forward-looking Statements in the press release we issued last night and in our last Annual Report on Form 10-K that is filed with the SEC and available on the Company's website. In order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. Any non-GAAP financial measures presented should not be considered to be an alternative to financial measures required by GAAP. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. I will now turn the call over to Sean Keohane, who will discuss the key highlights of the Company's performance, Erica McLaughlin will review the business segments and corporate financial details, following this Sean will provide closing comments and open the floor to questions. Sean?
Sean Keohane: Thank you, Steve, and good afternoon, ladies and gentlemen. In the third quarter 2019, we have to navigate a number of challenges in the business environment. Despite this, we delivered solid results with adjusted earnings per share of $1. I was particularly pleased with the performance of our Reinforcement Materials segment, which generated a sequential improvement in profitability and highest level of quarterly earnings since quarter three of 2018. I'm also encouraged by the continued progress of our transformation plan in Purification Solutions which resulted in year-over-year improvement in this segment. During the quarter, we delivered strong cash flow performance and we closed on the sale of our Specialty Fluids business thereby achieving an important portfolio objective. We have not seen improvement in the macroeconomic conditions in the third quarter and environment for the chemical industry as a whole was more challenging than anticipated. PMI continued to weaken globally, automotive production remained in negative territory and China remained soft. Exacerbating the situation was a lack of progress on the global trade front between U.S. and China. While the direct impact of tariffs on our results was small, the lack of clarity on a global trade framework is created a caution across the customer base. These high level themes impacted our results particularly in our Performance Chemicals segment. Recognizing the current business environment, we took proactive steps to counteract the impacts we are seeing across the Company. First, we continue to focus on opportunities where we could grow volumes. For example, Reinforcement Materials volumes in China grew year-over-year, driven by a stable domestic market for replacement tires. Second, we continue to manage cost through a combination of productivity measures, tight management of discretionary spending and structural improvements related to our Purification Solutions transformation plan. And third, we further tighten capital spending, our full year forecast is now $230 million to $240 million and well below the full year guidance we gave at the beginning of the year as we are carefully balancing growth investments with prudent cash management. Finally, we continue to have sustained focus on working capital to drive strong operating cash flow which was in access of a $100 million in the quarter. We remain committed to returning cash to our shareholders and in the quarter, we increased our dividend by 6%. Total dividend paid in the quarter totalled $20 million. We also repurchased shares of $32 million in the quarter and over the past four quarters we have repurchased 7% of our outstanding shares. While the current environment remains challenging, we are committed to long-term growth plans and our core businesses and have conviction around the fundamentals of our markets and our strategy. On this front, we completed construction at our new fumed silica plant in Wuhai, China, which will contribute to the Performance Chemical segment results starting in the fourth quarter. Before I turn it over to Erica, I would like to take this opportunity to thank the Specialty Fluid team for their contribution to Cabot over many years and for their strong support during the sales process. I wish the business and all of their employees much success in the future. I’ll now turn it over to Erica to discuss the business results in more detail.
Erica McLaughlin: Thanks, Sean. I will discuss the segment results beginning with Reinforcement Material. EBIT from the Reinforcement Materials for the third quarter of fiscal 2019 decreased by $2 million as compared to the third quarter of fiscal 2018. The price mix benefit that we achieved from our 2019 customer agreements were more than offset by the impact of lower margins in China from a more competitive pricing environment. Globally, volumes declined 2% in the third quarter as compared to the same period of the prior year, primarily due to a 7% decrease in volumes in the Europe from softer automotive production. In Asia, we delivered volume growth of 2% driven by higher volumes in China, as the replacement tire market continues to be firmed and we remain a preferred supplier. We have been pleased with the results of the 2019 customer agreement and our continued attention of pricing actions as well as address the cost of lightning speed that differentials in the quarter. As the feedstock environment presents the more complex set of issue than a typical annual contract negotiation, we’re continuing to spend time educating customers on these topics as part of our 2020 negotiation process. Our view on this remains consistent and that is that our increase cost must be passed down the value chain. This is consistent with the way the industry is worked for a long time and has been reflected in recent price increase announcement by most of the major carbon black players in North America that are intended to cover EPA surcharges, feedstock differentials and higher freight cost. Looking ahead to the fourth quarter, we expect similar results in the Reinforcement Materials to those of the third quarter with the assumption that the current challenging business conditions continue. Now turning to Performance Chemicals. EBIT decreased by $19 million year-over-year largely due to lower volumes and a less favourable product mix. The less favourable product mix was largely due to weaker demand and the more profitable automotive and fiber end market, which primarily impacted the Specialty Carbons product line in the quarter. Timing of order than the fumed silica product line resulted in volume declining 2% in performance additive while volumes are down 2% in Formulated Solutions due to lower sales in our inkjet product line. Similar to Reinforcement Materials, there was a challenge for the segment from feedstock differentials and EPA-related compliance costs that we need to recover. We continue to implement pricing actions to address these including the global feedback surcharge that we announced today for all North America produced specialty carbon. Looking ahead to the fourth quarter, we expect to see sequential improvement in Performance Chemicals from increased volumes in our fumed silica product line from the startup of our new plant in China and the timing of off-take from our fence-line partners. The tire fumed silica volumes couple of with targeted customer actions in our specialty carbons business are expected to result in an improved segment mix sequentially. Now moving to Purification Solutions. In the third quarter of fiscal 2019, EBIT increased by $7 million compared to the third quarter of fiscal 2018. This was driven by higher volumes in our specialty applications including food and beverage, chemicals and catalysts in addition to improve margins from price increases in the specialty applications. The business also reduced fixed cost in the quarter driven by savings from the previously announced transformation plan. Looking ahead to the fourth quarter, we expect to see sequential improvement in Purification Solutions driven by lower fixed costs from the actions been taken in our transformation plan. Now moving to Specialty Fluids. In the third quarter of fiscal 2019, EBIT decreased by $1 million compared to the third quarter of fiscal 2018 due to the mix of project activity in the quarter. As we mentioned earlier, we have completed the divestiture of this business during the quarter and going forward this segment will no longer be part of operating results. I'll now turn to corporate items. We ended the quarter with a cash balance of $147 million and our liquidity position has improved to $1.4 million. In the quarter, we issued $300 million public bonds the proceeds of which are used to repay commercial paper. During the third quarter of fiscal 2019, cash flows from operating activities were $115 million which include the decrease in net working capital of $16 million largely due to a reduction in inventory levels. We expect to see further improvement in operating cash flow for the fourth quarter as working capital should continue to be a source of cash in the quarter. Total capital expenditures for the third quarter of fiscal 2019 were $58 million and are now expected to be approximately $230 million to $240 million for full year. Discretionary free cash flow was $71 million in the third fiscal quarter of which we returned cash to shareholders through $20 million in dividends and $32 million of share repurchases. For fiscal year-to-date and forecasted 2019 operating tax rate on continuing operations is 23%. I'll now turn the call back over to Sean.
Sean Keohane: Thanks, Erica. Now, I would like to give you an update on our outlook for 2019. While 2019 has been a challenging year-to-date, we expect our fiscal 2019 adjusted earnings per share to be a comparable level with our fiscal 2018 results. With about one-third of our sales going into automotive applications and about quarter of our sales in China maintaining our earnings level year-over-year as a result of actively managing to offset the challenging business and geopolitical headwinds. The external forecast for recovery in China and stronger automotive OEM production have not materialized and we can't say with high confident that recovery is likely in the fourth quarter. As a result, we are assuming that both of these markets remain generally in line with what we experienced in our third fiscal quarter. Against the current backdrop of macro and market trends, we are focused on controllable measures. Looking at overall company results sequentially, we do expect fourth quarter earnings to be higher than the third quarter driven by increase fumed silica volumes with the start up of our plans in China and the timing of fence-line partner orders. Improved purification results driven by our transformation plan will also contribute. And finally, we’ll continue to focus on cost measures. Looking ahead, our priorities are clear. First, we’ll continue to leverage the strength of our global footprint and market leading positions to manage the balance of volumes and margin and continue to push for pricing recovery of feedstock differential. Second, we’ll continue to execute cost and productivity measures to enhance long-term competitiveness. And finally, we will aggressive stewards of cash as we focus on bringing down working capital levels and prudently managing the pace and timing of growth investments. We are confident in the fundamental of our core businesses, our leading positions and in unparallel geographic footprint and a robustness of the industry as we serve. Our advancing the core strategy seeks to balance growth and leadership in our core businesses with robust cash return to shareholders. We have conviction that this is the right strategy for Cabot and we are committed to delivering strong cash flows, investing for the future in our core businesses and returning cash to shareholders. Thank you very much for joining us today, and I will now turn the call back over for a question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Leithead of Barclays. Your line is open.
Michael Leithead: I guess first on the earnings outlook, if we look at your goals of growing EPS at double digits CAGR. This year is essentially flat. So, as we start to think about fiscal 2020 and I know it's early still, but are there certain things that should snap back in your mind and get you back on that 10% CAGR trend line off of 2018? Or is this year’s $4 likely the new base we need to grow 10% or so off of into 2020? I guess what are the moving parts in your mind there?
Sean Keohane: Yes. Sure, Michael. So, you’re right when we announced our outlook at Investor Day about a year ago, you might recall that the build out of that pathway one of the key elements was overall volume growth in the 4% to 5% range across the portfolio. And I mean, I think clearly we haven’t seen that this year in 2019, now how much of that is destocking that eventually bounced us back is a little bit difficult to tell at this point. For sure, I think the whole chemical sector and our sales included as seen volumes that are disconnected from what we believe end market demand to be and so generally that’s a destocking phenomena and that certainly has quite out over the course of the year. So, I think the question is, how much of that comes back and what are the triggers for that to come back? And I think to deal this question right now where is the global microeconomic -- how does the global micro picture play out here? Do we see that there is some settlement around global trade that gets people a confidence and therefore a trigger to be more aggressive in there order patterns and a replacement of destocking? Or does situation persist for a period of time? And that is very difficult at this point here. So, I think what we will be doing is over the next quarter is, course evaluating the current environment and then we will be in the middle of entire customer contract negotiations over the next quarter as well. So, I think will be in a better position to address that question after we report the next quarter.
Michael Leithead: That's helpful color. And then I think last quarter on the earnings call when we're talking about the bridge for the back half of the year, you discussed the substantial EPA project this quarter that wouldn't repeat in 4Q and be a tailwind of 4Q earnings. Looking through the stuff, I don't seem to see any mention of the EPA project, so did that occur as anticipated? And should that benefit 4Q versus 3Q?
Sean Keohane: You're right, Michael. We were planning a point positive benefit from rebuilding inventories in Q4 coming out of an extended Q3 EPA-related shut down. So, this is one of the shutdowns, that is tied to the industry consent decree, and of course building up to that shutdown, we had built quite a bit of inventory and then withdrawing down in this period of time. But the recent hurricane batteries did impact one of our site, and so the impact that we were getting from inventory change benefit is effectively offset here because with the outage at the plant, which is now back online but with the outage of the plant we haven't been able to rebuild inventories at the level that we had projected a quarter ago. So that’s the offset.
Operator: Thank you. Our next question comes from Jim Sheehan of SunTrust. Your line is now open.
Jim Sheehan: So, could you clarify on the differentials on feedstocks? Have you been successful and passing that through only in Reinforcement Materials or measuring that wrong? Are you making progress in both of your business segments or just one of the segments so far?
Sean Keohane: Yes, so an important question Jim and one that is I think can be a source of the confusion and these businesses operate a little bit differently, so let me try to clarify for you. So, first, let me start with reinforce materials and I would start by reiterating our under underlying philosophy in this business that feedstocks costs passed through to customers. And we execute this with our customers as you know through a pricing formula that adjusts with a market index to basically calculate their price. And about a year ago, as MARPOL issue was emerging, we saw that there might be challenges to this. And so, we introduced delivery cost adjustment or a DCA into many of our contracts. And these DCA adjust pricing of the index to our contracts differs from actual. So, that this philosophy of pass-through is upheld. And this year, we have indeed seen increase differentials in the feedstocks market and our DCA has adjusted pricing to ensure that those are pass-through/ And we also put in place feedstock surcharges to any customers that did not have a DCA in their contract and will continue to adjust these as needed. So, while we have seen differentials widen in Reinforcement, it did not meaningfully impact our EBIT performance in the third quarter due to this contracting strategy and our implementation of feedstock surcharges. Of course this is an evolving situation as you know and so we’ll need to continue to ensure that we recover these costs going forward and continue to use a DCA concept with customers in our 2020 contracts in order to manage any further MARPOL-related uncertainty. So I think on Reinforcement Materials the team is progressing well and our foresight on the DCA concept I think has been working well. In specialty carbons, it’s a different business and the philosophy in specialty carbons is a little bit different. The pricing is not as much tied to costs as it is more of a value-and-use pricing strategy. But that said, we do adjust prices as input costs move in a meaningful way. And so, the differentials impact in specialty carbons is a bit more pronounced because this business tends to use low-sulfur feedstocks more than rubber blacks does and of course the low-sulfur is impacted more by the MARPOL issue. So, what we are seeing currently is that North American feedstock markets have adjusted earlier than expected to MARPOL and the cost of these low-sulfur feedstocks is up relative to the index thus creating a differential. So, the focus now is on getting these price adjustments in place. And so as a result we’ve announced today a $0.07 a pound surcharge effective in September that’s intended to cover the cost of these rising differentials. So, same underlying situation but two different businesses and the approaches are slightly different. But the intent here is to get these recovered and passed along down the value chain, Reinforcement further ahead and quite pleased with progress there, still some work to do and stay vigilant. Specialty carbons, more work in front of us.
Jim Sheehan: Once your surcharges are in place, do you think that means that the differential problem is effectively fixed for 2020 or do we still stay tuned on that?
Sean Keohane: Well, difficult to tell because it’s a moving target and where pricing settles out on low-sulfur, I think you need to accumulate enough activity and up-trades in order for an index to really firm up. And so, I would say it’s probably still too early for that and everyone who’s in this value chain is I think watching for that. But based on what we see today, if we successfully implement here and we believe we’ll have coverage.
Jim Sheehan: Terrific. And could you just talk about what you expect your utilization rates to be on the fumed silica plants in Wuhai for the fourth quarter and when do you expect that to be fully ramped up?
Sean Keohane: Yes. So the start up of a chemical plant of course doesn’t reach a full capacity instantaneously. It’s always a ramp up there if we get customers qualify. So I would say, it will be ramping to full production across the next quarter. That's how I would think about it.
Operator: Thank you. Our next question comes from David Begleiter of Deutsche Bank. Your line is now open.
Christine Besselman: Hi. This is Christine on for David.
Sean Keohane: Hi, Christine.
Christine Besselman: Just two questions on China. Can you talk a little bit about the pricing dynamics in China this quarter and what your expectations are for the remainder of the year?
Sean Keohane: Sure. So, I think China is certainly a challenging environment in the short-term. I think it’s important to think about this both in the short-term and the long-term. So maybe a couple of thought to help out, and I'll start with the short-term here. First of all, auto production in China remains very weak. And so, the month of June was the 12th month in a row where auto production was down on a year-over-year basis. So, pretty significant I think. On a year-to-date basis, auto production is down about 16% in China. And so, you probably are well aware of the factors that are driving that, but that has created a more -- that reduction in demand has created a more competitive environment in China. And as a result, pricing has been under more pressure there over the last couple of quarters. I think the other factor that's pointing out in the short-term is the trade dispute between U.S. and China, because it just presents a lot of uncertainty and companies are unable to really plan properly. And so, as a result, are very cautious on inventory levels. And again, that creates -- or contributes to a more competitive environment in the carbon black side of things. So, we really need to see consumer sentiment firm up a bit in China. Number one, I think that would help remove some of the uncertainty and give customers more clarity and confidence to fill out their supply chains. And then the second is that we would need to see automotive production improve and these significant negative comps at least begin to reverse, and with that happening and a more firmer demand environment would begin to provide some support for pricing. I think over the longer term our view here hasn't changed in terms of China making almost 40% of the world's tires and carbon black, so important to recognize that. I think the second is that China still has the largest car park in the world and many of these cars have yet to hit their replacement cycle. And then our view on the feedstock side is that the coal tar and carbon black production are fairly well balanced here as steel -- virgin steel production has slowed. So we think that, that picture remains intact. And then finally, I think the environmental enforcement in the long-term will remain a priority for China. So, these factors give us confidence in the long-term, but we certainly have to work through this in a somewhat unprecedented short-term situation in China, and we're doing that. While we're not thrilled with the level of profitability that we had, we are still quite profitable in China and the overall results in the Reinforcement segment this quarter were quite strong given that set of circumstances.
Christine Besselman: Thank you. That was super helpful. And the just one question on Q4. Can you elaborate a little bit on what's driving the strong Q4 growth? I know that you mentioned obviously the fumed silica plant and then targeted customer actions, which most likely means price increases? And then on incremental cost measures, what other cost strings are you able to pull in order to hit that year-over-year implied 17% guidance?
Sean Keohane: Yes. So the sequential path is driven by a few items you touched on but let just try to frame it up perhaps a little bit more. So I think in Performance Chemicals we expect increased volumes from the operation of the new plant in China as well as volumes from our fence-line partners that were weaker in Q3 and that weakness not repeating. So those two factors drive higher fumed silica volumes and fumed silica tends to be the highest margin product across the Performance Chemicals portfolio. So the mix gets better as a result. We also have a number of targeted actions, both in terms of pricing as well as certain customer mix actions that we expect to contribute in the quarter. So there is a series of things there across Performance Chemicals. The second driver would be improvement in Purification Solutions in Q4, as they typically see some improvement from seasonality as well as incremental benefits from our transformation plan. And then finally reducing spending and continuing to drive productivity projects. So those three things. If I give you a rough sense for that, I would say the first series of things across Performance Chemicals is probably in the $5 million to $6 million range. The improvement sequentially in Purification in $2 million to $3 million range and then on the cost actions in the $4 million to $5 million range. So hopefully that gives you a sense of the drivers and the magnitude and the level of controllability here given the uncertain environment that we're all facing really. We're all focused on controllable measures as much as possible.
Operator: Thank you. Our next question comes from Chris Kapsch of Loop Capital Markets. Your line is now open.
Chris Kapsch: A couple of follow ups I guess focused on China. Sean you mentioned slower virgin steel production which I assume means a little bit less availability of crude coal tar. And so, I don’t know if that’s causing any movement in the feedstock costs over there. But can you just talk about that juxtaposed against what the pricing environment? I understand that since there's no real contracts over there that the concept of differentials doesn't really apply to China. But just wondering if you are seeing the need to get pricing against the backdrop of higher costs or is that pretty well? Are pricing and feedstock costs sort of matched right now?
Sean Keohane: Yes. So in China what we are seeing is that the feedstock costs have been somewhat volatile, but pricing tends to follow that. So, less of a differential issue and more of I think what we need to see in China is more demand side support. And with that then pricing will improve and move back to levels that we have seen in the past and that we would consider more normal for the long-term here. So, as demand side pressure begins to pick back up and you couple that with the feedstock market being imbalanced, we don’t see -- once that demand situation improves, we don’t see lots of excess feedstock. So therefore pricing on the carbon black side should be -- should firm up. So, I think it is more of a demand issue in China, Chris, than I think it is a differentials issue.
Chris Kapsch: Okay. And then if I could just follow up on the -- just on the ramp of the new fumed silica plant there. Because I think you referenced here fence-line customer showing softer volumes in this fiscal third quarter. I’m assuming it’s the same fence-line customer. I don’t know if that’s a good assumption. But just the confidence level that you’ll see the volumes that you need to operate your plant at reasonable level if that fence-line customer has weaker demand. And just what percent -- I’m assuming that silica goes back across the fence for elastomer application, what percentage of your capacity does that fence-line customer represent generally? And is it a take or pay arrangement in the new production? Thanks.
Sean Keohane: Yes. Let me try to clarify a couple of things there. So first of all, the fence-line partner demand impact that I referenced in Q3 is not related to the China project. And so, it’s in our other fence-line network in the Western world. And so, we feel pretty good that, that won’t repeat. On the China side, we’ve got the plant up on schedule and late in the quarter we’re through commissioning and began the process of customer qualification. This is all pretty typical stuff. And what we’ll see is that this will ramp across the quarter. We feel quite good about the volume ramp up here and have been building the commercial plans for this over the course of the past year. In terms of the offtake of that to our fence-line partner versus what we sell on the open market, it’s about half-half. And so, we feel quite good about the offtake from the fence-line partner and then the balance of it gets sold into our network in open market customers in both China as well as in certain cases can be exported to other parts of the world or other parts of Asia. So, we feel pretty good about that assumption, Chris, that’s embedded in Q4.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn the conference back over to Sean Keohane for any closing remarks.
Sean Keohane: Okay. Well, thanks everyone for joining today and for your continued support of Cabot and look forward to speaking again with you next quarter. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.